Operator: Good morning, and welcome to the U.S. Silica Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce you to Patricia Gil, Vice President of Investor Relations and Sustainability.
Patricia Gil: Thank you, and good morning, everyone. I'd like to thank you for joining us today for U.S. Silica's fourth quarter 2023 earnings conference call. Leading the call today are Bryan Shinn, our Chief Executive Officer, and Kevin Hough, our Interim Executive Vice President and Chief Financial Officer. Before we begin, I would like to remind you of our standard cautionary remarks regarding the forward-looking nature of some of the statements that will be made today. Such forward-looking statements, which are predictions, projections, or other statements about future events are based on current expectations and assumptions, which are subject to certain risks and uncertainties. For a complete discussion of these risks and uncertainties, we encourage you to read the company's press release and our documents on file with the SEC. We do not undertake any duty to update any forward-looking statements. Additionally, we have provided a supplemental fourth quarter earnings presentation on our website in the Investors section to accompany today's discussion. On today's call, we may refer to non-GAAP measures such as adjusted EBITDA, segment contribution margin, net debt, and net leverage ratio. Please refer to today's press release, our public filings, or the accompanying earnings presentation for a full reconciliation and discussion of adjusted EBITDA, segment contribution margin, net debt, and the net leverage ratio. I would now like to turn the call over to our CEO, Bryan Shinn.
Bryan Shinn: Thanks, Patricia, and good morning, everyone. During the fourth quarter, we continued to strengthen our financial foundation and advance our growth strategy while closing out an exceptionally strong and historic year for the company. During 2023, we delivered on profit guidance with 24% year-over-year adjusted EBITDA growth while increasing company contribution margin 16% and net income 88%. We also generated $264 million of cash flow from operations. These impressive annual results were driven by a combination of strong customer demand and disciplined pricing in oil and gas, and increased pricing and improved product mix in industrials, all supported by our optimized and lean cost structure. Furthermore, we repurchased and extinguished a total of $184 million of debt, improving our balance sheet and delivering a low net leverage ratio of approximately 1.4 times TTM EBITDA at year-end. It's also worth noting that both business segments delivered record annual profitability during the year, with annual sequential contribution margin dollar growth of 10% for ISP and 20% for Oil and Gas. During 2023, we also delivered many non-financial achievements, including our fourth year in a row of record employee safety performance, selling enough bleaching clay to purify 1.7 billion gallons of edible oil and selling enough diatomaceous earth filter aid to filter 13,000 Olympic-sized swimming pools worth of beer. While our purified product was used in blood plasma protein processing to produce roughly 9 million vials of albumin medicine serving millions of patients in the year. And finally, we completed 160 community events in 2023, including education for local students, sponsoring multiple recreational sports leagues and local FFA and 4-H organizations, along with participating in numerous volunteer events across the country. In all, 2023 was a fantastic year, and we certainly had a lot to be proud of. In corporate news, we appointed Gene Padgett as Vice President, Chief Accounting Officer, and Controller of the company in late December. I'm very excited to welcome Gene to our leadership team and believe that his extensive accounting and financial expertise will be a key asset for the company as we continue to advance our growth strategy. I'd also like to provide an update on our CFO search. We've had the opportunity to meet with a number of talented high-quality candidates with a broad range of backgrounds. I'm very pleased with the search process so far and expect to have our new CFO in place in the next few months. I'll now turn the call over to Kevin, who will discuss our financial results in more detail. Kevin?
Kevin Hough: Thanks, Bryan, and good morning, everyone. As Bryan mentioned, we reported historic levels of cash flow from operations and adjusted EBITDA for the full year 2023, driven by disciplined pricing in oil and gas and a higher value product mix in industrials. This was further supported by improved cost structures despite softer market activity for both segments. Looking at fourth quarter results when compared to the prior quarter, overall tons sold decreased 6% sequentially to $3.9 million. Total revenue decreased 8% to $336 million. Adjusted EBITDA decreased 13% to $88.6 million. The total company contribution margin decreased 10% to $116.9 million. Selling, general, and administrative expenses for the quarter increased 8% sequentially to $31.7 million, driven primarily by the purchase of group annuity contracts covering company pension participants and beneficiaries and insurance costs in the quarter. Depreciation, depletion, and amortization expense decreased 9% sequentially to $32.5 million in the fourth quarter due to a non-referring adjustment made in the prior quarter. Our effective tax rate for the quarter ended December 31st, 2023, was 23.3% including discrete items. As Brian mentioned, in the fourth quarter, we used excess cash on the balance sheet to extinguish an additional $25 million of outstanding debt at par. Since the second quarter of 2022, we have extinguished a total of $334 million of debt, incrementally reducing our debt service cost in today's high interest rate environment and providing an estimated $33.8 million of annual interest expense savings. At the end of the fourth quarter, our net debt to trailing 12-month adjusted EBITDA ratio remained at 1.4 times, below our year-end target of 1.5 times. I will now walk you through our operating segment results. The Oil and Gas segment reported revenue of $200.6 million for the fourth quarter, a sequential decrease of 13%. Volumes for the Oil and Gas segment performed below our prior guidance, decreasing by 7% to 2.9 million tons, while our SandBox delivered loads decreased 5% compared to the third quarter. Segment contribution margin decreased 15% compared with the third quarter to $70.1 million, which on a per-ton basis was $24.13. These results were driven by sequential decline in US completions activity and lower pricing. Our Industrial and Specialty Segment, or ISP, reported revenues of $135.5 million, which was flat compared to the prior quarter. Volumes for the ISP segment decreased 4% sequentially and totaled 958,000 tons. Segment contribution margin increased 1% on a sequential basis and totaled $46.8 million, which on a per ton basis was $48.85. The sequential increase in the results for the ISP segment was due to improved pricing and lower costs. On a year-over-year basis, contribution margin dollars increased 17% and contribution margin percentage expanded 11% due to pricing increases, a high grading of product mix, and cost improvement initiatives. Turning to the cash flow statement. We delivered strong cash flow from operations of $54.2 million in the fourth quarter, driven by strong earnings and efficient networking capital. During Q4, we invested $17.5 million of capital, primarily for facility maintenance, cost improvement, and ISP growth projects. As of December 31, 2023, the company's cash and cash equivalents totaled $245.7 million, a sequential increase of 10%, which includes the impact of the $25 million loan extinguishment. At quarter end, our $150 million revolver had $0 drawn with $134.7 million available under the credit facility after allocating for letters of credit. Turning to guidance, the high level of profit customer contracts in our Oil and Gas segment, coupled with our consistent and varied customer base in the ISP segment, gives us reasonable confidence in our visibility for 2024. We expect strong operating cash flow generation this year and plan to direct our free cash flow to fund our growth capital needs while we continue to reduce our net debt level. Our current net leverage ratio expectation is that it will remain below 1.5 times through the year. Regarding capital spending, we will continue to be disciplined in our investment allocations and will focus on maintaining operating levels at our facilities while pursuing profitable growth. For full year 2024, we are forecasting our capital spending to be approximately $60 million, with the possibility for that to increase during the year as we opportunistically look to accelerate our high return potential capital investment projects. Finally, we are forecasting full year 2024 SG&A expense to be up approximately 5% year-over-year, driven primarily by investments in our workforce. The forecast for full year 2024 depreciation, depletion, and amortization expense is down approximately 5%, given higher CapEx spending levels in prior years for assets that have become or are becoming fully depreciated. Our estimated effective tax rate for full year 2024 is approximately 26%. With that, I'll turn the call back over to Bryan.
Bryan Shinn: Thanks, Kevin. Next, Let's review some of the trends that we saw during the quarter, starting with our Oil and Gas segment. Demand for our proppant and SandBox logistics offerings were up mid-single-digits sequentially in Q4 as the US land energy complex experienced sequentially lower drilling and completions activity driven by weather and typical seasonality. Due to our disciplined pricing approach, our overall proppant price per ton was down less than $2 quarter-over-quarter. These efforts, coupled with our quick and flexible variable cost reduction initiatives, allowed us to deliver a strong contribution margin of 35% for Q4. Additionally, due to our trusted market reputation, reliability, and capability to deliver profit at scale, we signed four customer contract amendments and extensions in the quarter. Finally, our new patent-pending Guardian frac fluid filtration system continues to perform well and gain momentum in the market with a total of 16 units installed to date. Customers continue to enjoy increased pump uptime and efficiency and decreased repair and maintenance costs. Given the strong customer acceptance and market adoption, we expect to double the systems in our fleet in 2024. In our ISP segment, as we guided on last quarter's call, volumes declined on a year-over-year basis. This was due to a combination of normal seasonal demand reduction, customer facility maintenance, and customer year-end inventory management, particularly for fiberglass, industrial oil, and recreation products. Despite these lower activity levels, we benefited from ongoing structural cost reductions, price increases and greater sales from advanced materials which afforded us the improved sequential and year-over-year profitability and a 27% increase in contribution margin on a per ton basis. I will now provide updates on key developments in our industrial portfolio and then finish with a summary of our outlook for the first quarter of 2024. During the fourth quarter, we made significant progress on all three key strategic growth elements of our ISP business. Our first element is increasing the profitability of our base business at a GDP-plus rate. With that goal in mind, we continue to capture savings from reduced logistics costs, improved plant reliability, automation, cost efficiency projects, and lower natural gas prices. We're also committed to raising and maintaining product pricing to help offset increased costs. Our most recent price increase of up to 20% for numerous non-contracted ISP products went into effect for shipments beginning January 1st. The second element of our ISP strategy is to substantially grow our current high-value differentiated products such as ground silica, diatomaceous earth powders, and fine fillers, and high-purity filtration substrates. Q4 was a very productive quarter in this regard. During the quarter, we finalized and amended nine key customer contracts with improved pricing and volume commitments. Low iron silica demand for solar glass remains strong and is growing with the domestic industry. We estimate that US solar panel manufacturers announced an additional $1.8 billion of capacity expansion projects during the quarter, bringing total domestic announced solar panel investment to $11.4 billion since the passage of the IRA. To support industry growth, we have developed the capability to produce low iron silica from a second US silica mine and have recently signed a key customer supply contract for this product. Additionally, demand for our diatomaceous earth catalyst products continues at high levels and our natural DE powders remain sold-out across facilities. Given the strength of customer demand for these products, we are pursuing capacity expansion that will come online in early to mid 2025. Our third strategic element is expanding our addressable markets and applications with sales of new high-value advanced materials such as Cristobalite, EverWhite Pigment, and White Armor solar reflective roofing materials. Sales of EverWhite Pigment, our TIO2 partial replacement product, continued to accelerate. We have line of sight to selling out our existing production capacity for this product and our expanded capacity, which is scheduled to come online early next year. Customer feedback remains positive as we move forward with multiple qualifications and production trials for several applications that would further expand our total addressable markets. During the quarter, we also launched and qualified a new cool roof granular product with improved solar reflectance. This increase in performance ensures that customers can continue to meet even the most stringent cool roofing codes across North America. Plus, we fully commissioned our new state-of-the-art innovation center in Rochelle, Illinois, and we're receiving numerous inquiries from customers and distributors about processing new materials at this location. Turning now to our business and market outlook, as Kevin noted, we anticipate that we'll generate robust operating cash flow again this year and maintain a net leverage ratio below 1.5 times. Our Oil and Gas segment is attractively positioned to maximize through-cycle earnings due to our cost reduction and variabilization efforts over the past few years, which have cut our annual fixed costs substantially. These actions have had the effect of raising our annual earnings floor in a softer market by up to $70 million, without sacrificing upside in a peak market. We repositioned the segment and improved our contribution margin percent to the mid-30s and forecast that our contribution margin on a per-ton basis will average in the low $20 per ton level for the year. For the first quarter, we anticipate that volumes will be flat to slightly up sequentially with contribution margin dollars down 5% to 10% due to continued pricing pressures from a slightly oversupplied profit market. Q1 has started off well, with stronger-than-anticipated January sales as we just recorded our second best month for West Texas sales volumes. The harsh winter weather in the Permian Basin proved beneficial for U.S. Silica as competitor mini mines were negatively impacted and customers reached out to us for additional profit supply to maintain ongoing completions. Overall, this business segment remains well positioned to capitalize on the current multi-year energy upcycle with expectations for constructive commodity prices and healthy demand for profit and last mile logistics. We are maintaining pricing discipline and continue to have strong contractual commitments for our sand with approximately 80% of production capacity committed for 2024. We continue to believe that the recent operator consolidation should lead to better acreage positions and increased lateral length, requiring greater service intensity and translating to more sand for well completions. To reiterate, demand for sand profit remains healthy and strong, and we plan to remain heavily contracted and disciplined on pricing while maximizing our profit margins. Moving to our Industrial and Specialty Product Segment, we are well positioned to achieve another year of profitability growth in 2024 due to the strength of the numerous current and emerging end markets that we serve. Furthermore, we expect to continue expanding profit margins through structural cost reductions, price increases, and investments in product development. These initiatives, coupled with customer investments in domestic manufacturing, should continue to offset any potential near-term market weakness. For the first quarter, year-over-year volumes are forecasted to be down low single-digits due to product demand mix. However, we expect contribution margin dollars in industrials to increase 5% to 10% on a year-over-year basis due to improved pricing, favorable product mix, and ongoing operational and supply chain efficiency improvements. Additionally, I'd like to update you on a change to our business alignment and segment reporting going forward. After careful consideration, we are moving the management and reporting of our oilfield Northern White Sand Offerings from the Oil and Gas business segment to the Industrial and Specialty Products Segment beginning with first quarter results in 2024. Given how the oilfield Northern White Sand business has evolved over the years, we believe that it's better positioned today as an offering within ISP. This change will streamline our business operations, reduce costs, and allow us to maximize value as we will now have all white sand based offerings in one business unit. We will discuss this further on our next earnings call and I’ll offer historical financial examples to bridge prior quarter results to the new reporting alignment. So to summarize, in the fourth quarter, we continued to strengthen our balance sheet through incremental debt extinguishment and further cost reductions while making strong progress on growing the company in several areas, including signing numerous contracts at attractive prices in both of our business segments, developing and launching a second source of low iron silica to meet the growing needs of the domestic solar panel industry, beginning a capacity increase plan for our sold-out diatomaceous earth powders line, which will be coming online in early to mid 2025, continuing capacity expansion for our new EverWhite Pigment product line, which will come online early next year, launching a new and improved cool roof granule product, and finally maximizing cost optimization and efficiency efforts across the company. We expect that the actions that we are taking to increase capacity, expand our contracts with blue-chip customers, and improve our operations and efficiency can help unlock transformational growth for the company and enhance stakeholder value. And with that, operator, will you please open the lines for Questions?
Operator: Thank you. And at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Stephen Gengaro with Stifel. Please proceed with your question.
Stephen Gengaro: Thanks, and good morning, everybody.
Bryan Shinn: Good morning, Stephen.
Stephen Gengaro: So a couple things jump out for me, but just to start with, you mentioned the ISP segment, I know market dynamics are evolving. You had suggested 8% to 10% contribution margin growth as a trend during the analyst event you held. Is that applicable to ‘24?
Bryan Shinn: Yes, we expect to be in that window and average that as our growth CAGR going forward, Stephen.
Stephen Gengaro: Great, thank you. When we think about the reallocation of capacity, what does that mean for average contribution margin per ton in Oil and Gas over time? And what is the sort of current nameplate or accessible Oil and Gas frac sand capacity right now?
Bryan Shinn: So when you talk about the reallocation, are you talking about the sort of geographic change of Northern White Sand, or were you talking about something else?
Stephen Gengaro: Yeah, when you said you were reclassifying your Northern Whites into ISP, does that mean you're not selling it into Oil and Gas anymore? It'll be used for industrial applications?
Bryan Shinn: No, no, but basically what that means is that we're going to have the industrial team manage all of the Northern White Sand. So I think, maybe there's a little bit of confusion around Northern White Sand. Internally, when we think about Northern White Sand, we think about all of the sand that meets that sort of technical description. And we sell some of that into the oilfield and some into industrial applications, like glass manufacturing, foundry, et cetera. And so what we're doing is we're bringing all that together and having that managed by the industrial team within the company. And the reality is, that's kind of in line with how we run the company in some ways anyway. And basically by doing this, it will allow one management team in the company to optimize the profitability and the sort of ongoing logistics and management efficiency of that supply chain. Today we've got two management teams kind of vying for that capacity and I think long term we can optimize profits for the company if we have that under one team. So I still expect that we'll sell a lot of sand into the oil field, but the management of that and the allocation of that capacity will be done by the industrial team, if that makes sense.
Stephen Gengaro: Okay, that makes sense. I was a little -- I misread that. I thought you were basically exiting the Northern White Oil and Gas business, which you're not. Okay, that's all.
Bryan Shinn: No, no, we're not.
Stephen Gengaro: And then just a final one for me, and I'll get back in line. There was a big acquisition announced earlier this morning. So I think it consolidates the Permian quite a bit with I think the combined entity kind of probably close to 30%, maybe high 20s of industry capacity. So there was a couple things that I -- that jumped out at me was the consolidation and then kind of the valuation paid for that which seemed a little low. But could you just talk about the impact, potential impact of that consolidation and how that potentially helps the supply demand and pricing dynamic in the Permian?
Bryan Shinn: Sure, sure. So first off, congratulations to both companies. It's tough to pull an acquisition off and hats off to them for doing it. As I step back and look at this, I think it's a real positive for our industry, Stephen, but we all know that the frac sand value chain is pretty fragmented and when you look at it compared to a lot of the other parts of the oilfield industry, our industry is very sort of fragmented and deconsolidated and if this can start a chain of consolidations within the industry, I think that's definitely a positive, and it should bring more discipline and stability overall to the frac sand value chain, which I think will be basically accretive to valuations for the sector long term. We've all talked on our earnings calls, in all kinds of meetings around the industry, about needing to get some consolidation in this industry. And so it's really great to see it happening.
Stephen Gengaro: Okay, great. Thank you.
Bryan Shinn: Thanks, Stephen.
Operator: Thank you. Our next question comes from the line of John Daniel with Daniel Energy. Please proceed with your question.
John Daniel: Hey, guys. Good morning. Thank you for having me.
Bryan Shinn: Good morning, John.
John Daniel: So, I just want to follow on to Stephen's question. In an all else being equal world, would you rather pursue consolidation in Oil and Gas or in the Industrial?
Bryan Shinn: Well, I think we've talked a lot about the strategy of both parts of the company and we're fortunate enough to have the optionality to look across that. We're certainly investing our growth capital and growth energy disproportionately towards the industrial side of the company because we think we have so many really cool opportunities over there. That said, we invest a lot of kind of mental energy in managing the Oil and Gas part of the company. And we like that part as well. It generates cash and it plays an important part in the company's overall strategy. I would say if you look at the dynamics of the two businesses, certainly on the industrial side, there's more of a moat around that business, more technically specified. We rarely see new entrants into the sort of industrial silica and diatomaceous earth and different minerals that we have there. So it's why that part of the company certainly commands a premium valuation. And if you look at kind of how the stock is valued today, for every dollar we generate on the industrial side of EBITDA, we probably get four times the EV ultimately dropping through to the share price than if we generated that same dollar on the oilfield side. So I think we give the appropriate amount of effort to both of the businesses and we like the two industries that we're in.
John Daniel: Okay. One more, if I may. As you think about growth through acquisition, can you -- I'm assuming you see more opportunities within Oil and Gas for consolidation, or is that -- [I being incorrect with] (ph) that view?
Bryan Shinn: Well, I think there are definitely opportunities, and as you can imagine, over the years we've had a number of different conversations with parties on both sides of a transaction. I feel like the -- as you know well, the issue in the oilfield is there's usually not much time where buyer and seller expectations actually overlap in terms of valuation. And depending on where the cycle is, one side or the other feels like they're not going to get a good deal. So I think that's been the biggest issue, quite frankly, to getting something done here. And frac sand in particular has been up and down over the years in terms of valuation. So it makes it doubly hard to do that. Hopefully, this will show a path towards getting things done. It certainly establishes some expectations around what things might be worth. So sometimes that's what it takes to kind of light the fuse, if you will, to get more done. And I'm really hopeful that we do see more consolidation in that part of our business.
John Daniel: Fair enough. Thank you for including me.
Bryan Shinn: Thank you, John.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Stephen Gengaro with Stifel. Please proceed with your question.
Stephen Gengaro: Thanks, Brian. Just two quick follow-ups. You mentioned, I think, 80% of sand in the Oil and Gas business contracted for 2024. Does what -- I assume what underlies that is support of the contribution margin [ton] (ph) that you obviously provided, but what -- is the pricing situation right now fairly stable, you think? I mean you did mention slight over-capacity right now, but how do we think about that supply-demand dynamics for frac sand right now?
Bryan Shinn: Yeah, it's a great question. As I said in my prepared remarks, there's a slight oversupply right now of capacity. And we'll see prices down a couple of dollars a ton versus where we exited from Q4. So if you look at 2024 to Q4 of last year, things will be down just a bit on pricing. But I do feel like things have stabilized and we see pretty consistent pricing out in the market today. As always, the spot price is a few dollars less than the contract, but I think we've stabilized in the market in a very healthy spot, particularly relative to history. And I think that's how you have to view this. 2023 was a really strong year. 2024, I think for most of us in and around, anywhere in the service company chain, probably going to be a little bit off versus ‘23, but again, that was kind of a historic year for many companies, I think. But I still feel really good about where we are in ‘24 and like the pricing and the contracts that we've signed and continuing to be able to have plus or minus 80% of our capacity under long-term contract really gives us that visibility and that confidence that we're going to have a very good year here in ‘24.
Stephen Gengaro: Great. And then just the second quick one is when you think about capital allocation, and I know John asked a little bit about M&A, et cetera, but when you think about the balance between dividends, buybacks, and reducing debt, where are you sort of ultra comfortable with the debt levels where more of the cash would start to flow directly back to shareholders to buybacks and dividends?
Bryan Shinn: So I think just backing up and looking at capital allocations, the first thing that we want to do is make sure that our industrial growth needs are fully funded. So that's kind of priority one for us. And then we look at the things that you mentioned. Obviously we've reduced a lot of debt over the last couple of years, about $334 million I think since Q2 of ‘22. I would say that given the still relatively high interest rates that we and others have out there, we'll always have to look hard at debt repurchases. Thinking about, like, leverage levels, kind of specifically to your question, we finished last year about 1.4 times net debt to TTM EBITDA basis. That's a good place to start. I think we might go a little bit lower there. We're sitting about, well, just under two times growth levered, and so I think there's room to still take that down a bit more, and I tend to think about through the cycle where do we want to be. And so if we can stay, let's say under three times net levered through a cycle, that feels like a pretty good place to be as well. So we have a lot of different metrics that we look at, even to think about where we want to go and we'll be opportunistic in making those calls. We chat with the Board every quarter and think about exactly what decisions we want to make with our cash. So we'll constantly monitor that and pick the right choices for our investors and all our stakeholders.
Stephen Gengaro: Great, thanks for the color.
Bryan Shinn: Thanks, Stephen.
Operator: Thank you. We have reached the end of the question-and-answer session. I'll now turn the call back over to CEO, Bryan Shinn, for closing remarks.
Bryan Shinn: Thank you very much, operator. So as we begin this new year here in 2024, we are very confident in our business strategy. And we believe that our industry-leading current and new offerings, the free cash flow visibility, and our commitment to further grow earnings will deliver substantial value for our shareholders and other stakeholders as we've talked about already on the call today. So I do want to thank you all again for joining us and we look forward to speaking with you all again next quarter. Stay safe everyone and be well.
Operator: And this concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.